Operator: Hello. And welcome to the Westrock Coffee Company’s Fourth Quarter 2022 Earnings Conference Call. My name is Valerie. I will be your conference coordinator today. Following prepared remarks, we will open the call for your questions with instructions to be given at that time. I will now hand the call over to Clay Crumbliss of ICR. Please begin.
Clay Crumbliss: Thank you. And welcome to Westrock Coffee Company’s fourth quarter 2022 earnings conference call. Today’s call is being recorded. With us are Mr. Scott Ford, Co-Founder and Chief Executive Officer; and Mr. Chris Pledger, Chief Financial Officer. By now, everyone should have access to the company’s fourth quarter earnings release issued earlier today. This information is available on the Investor Relations section of Westrock Coffee Company’s website at investors.westrockcoffee.com. Certain comments made on this call include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management’s current expectations and beliefs concerning future events and are subject to several risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today’s press release and other filings with the SEC for a more detailed discussion of the risk factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Also discussions during the call will use some non-GAAP financial measures as we describe business performance. The SEC filings, as well as the earnings press release, provide reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures. And with that, it’s my pleasure to turn the call over to Scott Ford, our Co-Founder and Chief Executive Officer.
Scott Ford: Good afternoon, everyone, and thank you, Clay. I am delighted to be here with you as we report our fourth quarter and full year 2022 financial results. As noted in the headlines of our release, our year-over-year adjusted EBITDA growth was 23% for the fourth quarter and 27% for fiscal year 2022. These are fabulous results and I am grateful to the entire Westrock Coffee team who worked tirelessly all year to deliver. Ask anyone on the team and they can tell you 2022 was a year of unbelievable accomplishment amidst staggering challenges. We became a public company during a very difficult time for the public equity markets and have been one of the best performing new issues of 2022. This transaction allowed us to delever our balance sheet and provided us access to enough capital to build out not only the first, but also the second phase of our new Conway, Arkansas extract and ready-to-drink facility. With well over half of the capacity of this combined facility already under sales contracts with leading RTD coffee brands, we are excited to be positioned to enter a completely new era of EBITDA creation over the next two years to three years. And while we plan for the future, we operate in the here and now. In 2022, we encountered significant number of operational level challenges. We began 2022 with the onset of the Omicron COVID variant which delayed an expected economic recovery and then faced a surge of inflation and gasoline price hikes through the summer, all of which negatively impacted our business. Our year ended with the late arrival of significant production equipment for our single-serve and extract units, which created customer delivery issues and negatively impacted our cost and margins. Our team had to fight for every inch of progress in every season of what could have otherwise been a fairly impressive and reasonably easy year. Yet through all the good and the bad of 2022, our team worked tirelessly to deliver record adjusted EBITDA up 20%, while also making significant advances on integrating and improving our internal operations, sales and support functions. These advances, coupled with the recent arrival in on-boarding of our long-delayed manufacturing equipment have set us up for another record year in 2023, even as we continued to spend as needed to build the scaled platform necessary to monetize the value of our new Conway extracts and RTD plant, which when fully online is set to expand our EBITDA, not by percentage factors, but quite possibly by multiples. Before I turn the call over to Chris Pledger, our CFO, let me say a word about two acquisitions we made over the past few months. In November, we closed on the acquisition of Kohana Coffee, an extract in RTD business in Richmond, California. This acquisition was important for us and that it allowed us to add several new customers on our beverage solutions platform, and more importantly, it allowed us to accelerate the development, production and distribution of RTD products in cans and multi-serve bottles for key existing customers. Similarly the acquisition of Bixby Roasting in February allowed us to expand our growing influencer-led sales channel and add two outstanding sales executives to our team. Miles Fisher and Remington Hotchkis are going to be impact players for Westrock Coffee overtime. These kind of incremental gains expand our platform and help drive growth as we build for our future. They are exactly the kind of acquisition opportunities we remain focused on today. With that, I will turn the call over to Chris who will walk you through our recent financial performance.
Chris Pledger: Thanks, Scott, and good afternoon, everyone. I will begin my remarks with an overview of our fourth quarter and our full year 2022 results and then I will provide some commentary on our outlook for 2023. Total company net sales for the fourth quarter increased 20% year-over-year to $227.7 million, while gross profit excluding the impact of mark-to-market adjustments decreased $1 million to $37 million. Our sales growth was driven by 57% increase in single-serve cut volumes and increased pricing from the pass-through of higher underlying green coffee prices for the quarter. This growth was partially offset by a 6% decrease in roast and ground coffee volumes. The year-over-year decrease in gross profit was driven by higher material and production labor costs due to inflation, in-period and out-of-period inventory adjustments and our continued efforts to absorb the 57% growth year-over-year in single-serve cut volumes. Despite these headwinds, our consolidated adjusted EBITDA for the fourth quarter was $17.5 million, an increase of approximately 23% compared to the fourth quarter of 2021, driven by reductions in SG&A, primarily related to personnel cost savings. For the full year 2022, net sales were $867.9 million, while gross profit excluding the impact of mark-to-market adjustments was $156.3 million, an increase of 10% compared to full year 2021. Consolidated adjusted EBITDA for 2022 grew 27% to $60.1 million coming in at the low end of our guided range. As we outlined in our third quarter call, our 2022 financial results were impacted by three main factors. First, the Omicron COVID variant in the first quarter followed by rapidly rising inflation through the middle part of the year had a significant negative impact on U.S. consumer spending. This impacted our business in the form of lower product sales and our away-from-home channels, particularly in restaurants and convenient stores, and inflation impacted labor cost freight and material costs across all of our products. Second, it took longer and cost more in terms of equipment, labor and materials to absorb the 50% year-over-year growth in our single-serve cup orders. As Scott mentioned, we have put additional manufacturing equipment into service in the first quarter of 2023, which is leveling out these service issues and we have additional equipment coming online in the second quarter, which will free up additional capacity. As we continued to grow our single-serve platform, we feel very good about our ability to more efficiently monetize these increased product volumes. Finally, our team has performed really well in 2022, staying disciplined and focusing on the levers we have to pull in order to respond to these significant macroeconomic and operational challenges. On a segment basis, our beverage solutions segment contributed $192.6 million in net sales for the fourth quarter of 2022, which represents year-over-year growth of 28%. Adjusted EBITDA in the fourth quarter of 2022 was $15.2 million, increasing 31% compared to the prior year fourth quarter. For the full year, our beverage solutions segment generated $54 million adjusted EBITDA, a 30% increase over 2021, driven by 50% growth in our single-serve cut volumes and 8% growth in our flavors, extracts and ingredients products, which were partially offset by a 7% decrease in roast and ground coffee volumes. As we said before, an important part of our growth algorithm is the mix shift over time into our higher margin single-serve and flavors, extracts and ingredient products. We continued to see that shift in customer demand and our 2022 results validates this continuing trend. Turning towards our sustainable sourcing and traceability segment or SS&T, sales net of intersegment revenues were $35.1 million during the fourth quarter of 2022, a decrease of 12% compared to the fourth quarter 2021. Adjusted EBITDA was $2.3 million in the fourth quarter of 2022, compared to $2.7 million in the prior year fourth quarter. The decrease is primarily attributable to decreased volumes in the quarter. For the full year, our SS&T segment contributed sales net of intersegment revenues of $182.6 million and adjusted EBITDA of $6.1 million growing 24% and 7%, respectively, compared to 2021. These increases are driven by a higher average sales price per pound for green coffee, which grew 35% year-over-year, as sales volume decreased approximately 9% from 2021 levels. The increase in average sales price per pound is directly correlated to global commodity prices. During the year, the volume of green coffee from our SS&T segment that is utilized by our beverage solution segment grew 173%, which is important and that it keeps margin within the system and it expands the coverage of our traceable and transparent supply chain. With respect to our capital expenditures, during the fourth quarter, we incurred approximately $40 million of CapEx, $30 million of which was growth capital related to our extract and RTD facility in Conway, Arkansas. These expenditures primarily consisted of infrastructure spending and equipment deposits for our glass and can lines. In addition, we incurred $5 million of growth CapEx tied to the continued single-serve capacity expansion in our Little Rock, Arkansas facility. This single-serve CapEx is already having a benefit in 2023 as new machines are allowing us to increase production to align with customer demand and to improve the overall efficiency of our single-serve cup operation. On a project basis, we continued to anticipate that the total CapEx cost of Phases 1 and 2 of our Conway extract and RTD facility will be $275 million and that once it’s fully online, we will generate approximately $100 million in EBITDA per year. As Scott mentioned, this project remains on time and on budget, and we look forward to the first product being produced in Conway in the first quarter of 2024. At quarter end, we had approximately $192 million of consolidated unrestricted cash and undrawn revolving credit commitments. Our consolidated net leverage ratio at December 31st was 2.9 times based on fourth quarter annualized adjusted EBITDA. We believe we have ample access to liquidity to achieve our near-term growth targets and capital expenditure needs. As we look ahead to 2023, we expect adjusted EBITDA to grow between 10% and 25%, which translates to a range of $66 million to $75 million in adjusted EBITDA. This guidance represents our current expectations regarding the performance of the business. However, actual results may differ materially from these estimates. We expect our 2023 financial performance to be driven by several significant new customer and product wins that will come online in 2023. Growth in our extract volume as our expansion project in Concord, North Carolina is complete in May and we benefit from the volume growth that expansion allows. Growth in single-serve cup volumes as we get the full year benefit of the increased single-serve volume we experienced in the second half of 2022. Growth in RTD can sales as we continued to scale our operations in Richmond, California. And operational improvements we are putting in place to more efficiently monetize all of these opportunities. We will continue to closely manage costs in our existing business, while we continued to invest in the equipment, and more importantly, in the team that will deliver the growth to come from our Conway extract and RTD facility in 2024. With that, I will hand the call back over to the Operator for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Todd Brooks of Benchmark. Your line is open.
Todd Brooks: Hey. Thank you. Good evening, gentlemen. Couple of questions from me.
Scott Ford: Hi, Todd.
Todd Brooks: One, just looping back to the equipment delay that you talked about in later in Q4 that’s kind of slip into Q1. Is generally the size the impact so that we can think about what type of drag that was on Q4 results?
Scott Ford: Yeah. This is Scott. Hey, Todd. Frankly, you would get debate. The reality is, those are the main line that was late, was due in October and is now coming in May. It was coming out of Europe where everybody was kind of slow to get back though. We were able to fill part of that gap, might go into Israel and getting a couple of machines that could alleviate, I would say, most of the burden of being cut short. And if you look at the aggregate picture, absent that, I think, it probably cost us a few million bucks. There are people that would say, well, on a net-net basis, because orders came in this sequence instead of that when it might not have cost us quite that much, but I think it probably cost us a few million dollars in EBITDA and it was a major pain in the neck with our customers. So it was a really nasty spell. I’d say the good news that came out of that is, when we look at all of the things that are going on in Conway, we changed all of our program management and we now put every call -- every vendor on the phone every week and we are doing site visits to actually see it. Don’t tell me that it’s being done. We are going to send somebody, our Head of Engineering in Europe for the next three weeks right now of walking through and laying eyes on exactly the machine that’s coming our way and we have changed some of the payment terms so that we kind of get some of that level back out. So it’s a multitude of factors there, almost all of them are bad and almost all of them are now behind.
Todd Brooks: Great. Thanks, Scott. And then I think when you were talking about 50% of the capacity under contract at Conway, you are not talking about the blended capacity between Phase 1 and Phase 2, could actually have filled some more of that incremental capacity with the two new phases during the course of this quarter?
Scott Ford: Yeah. So you are right. It is -- we are referencing not only Phase 1 to Phase 2 and the thing that I would say that, most important take away from the Conway expansion is that, as we accelerated liquid extract into that facility, which we used to do in North Carolina and we were playing around wins that we break win and if [ph] to bring that into Conway, bringing liquid extracting at the scale we are bringing to them, we will support our customers other bottling facilities where they desperately need help. It will help support our operations on the West Coast and the East Coast, and it is engendering a number of conversations about product, SKUs and customer relationships that quite frankly were never on our list of, I would say, benefit that came out of accelerating the liquid extract space. So 50% is a rough number for the whole combined series of packaging lines that are going in, but the acceleration of the extract manufacturing is what is really starting to change the conversation with our customers, because the need for these or it’s really hard to explain the depth of the need that is in the market for these products, Todd.
Todd Brooks: That’s great. Thanks, Scott. One more for Chris and then I will hop back in queue. Chris, when you look at the forward guidance for EBITDA growth of 10% to 25%, as you are looking at variables that drive you to one end of that spectrum or the other, can you highlight two or three that would unlock where you land in that guidance range? Thank you.
Chris Pledger: Yeah. Yeah. I think it’s a couple of things. I think as we looked at it this year, we weren’t going to make any predictions about what was going to happen with inflation. We just took the year as it is and just assume that it would continue the way that it is. So bad things could happen and it could continue to impact customer demand and that would negatively impact our ability to hit the higher end of that range that would put you to the lower end of the range. The other thing that I am excited about this year, is that we have got a number of new customer and new product wins and the lion’s share of those wins are in our single-serve in our extracts out of the business, which as we talked about our growth algorithm and being able to move to the higher margin part of the business, being able to accelerate that into 2023 recognizing that that’s going to be a huge part of the story in 2024, is a huge plus, and I guess, tailwind for the business. So being able to deliver to those customers, we don’t always control exactly the timing of when those customer contracts will come online, but having those customers come online when they expect -- when we expect them to with the volume that we expect to have them, it’s something that with plus or minus provide some sort of benefit to us being towards the top range -- the higher range of the guidance.
Todd Brooks: Okay. Great. Thanks to you both.
Operator: Thank you. [Operator Instructions] Our next question our next question comes from the line of Sarang Vora of Telsey Group. Your line is open.
Sarang Vora: Hi. Good afternoon, guys. Just staying on the guidance, the prior question on the guidance, how do you -- the beverage solution is the main segment over here, it seems like sales were stronger in the fourth quarter, seems like new customer on-boarding as you look out at 2023. So help us understand, the -- if you can provide any sales outlook or a range or color on how we should think about sales in 2023 especially beverage solutions versus SS&T? It seems like SS&T is primarily impacted by lower coffee prices, but it’s just forward future business versus the core business which is beverage solutions. So can you help us understand any color on the sales for 2023, like how we should think between the segments? Thank you.
Scott Ford: We talked a lot about this and whether or not, it was really valuable to put sales guidance out in addition to EBITDA guidance and recognize that we have done that as part of the de-SPAC transaction. But when you look at and we talked about this on prior calls and I know we have had these conversations around the impact of the commodity prices on our sales, because we don’t know what that’s going to be, it’s hard to put guidance on where the coffee [ph] prices. If you think about last year, we sort of planned for the coffee price to be around 220 for the year, I mean if you look at where it is now, it be below that as you embark into 2023. But the reality is that we don’t know where that’s going to stay for the year, whether it’s going to go up or down and given the pass-through nature of the coffee in our net sales, it’s just -- it’s something that we decided not to provide guidance on. I think when you see the growth in the customers and the new products, net sales is clearly going to go up from where it is now, but the lower commodity prices is going to offset the sales, which is why we continue to focus everybody on our EBITDA generation.
Sarang Vora: That’s cool. And I just have a quick follow-up on the Conway, it seems like demand trends for the Conway facility are very strong. Can you provide any color on customer profile that’s getting attracted or type of products like cans, as well as any milestones like we should track for the year, saying, equipment delays or talent acquisition, like how are you planning the rollout, like, 2024 for the Conway facility? Any milestones you can share…
Scott Ford: Sure.
Sarang Vora: …for us to monitor. Thank you.
Scott Ford: Yeah. Good -- all good questions and also it like -- sounds like you have been sitting in our daily meetings on the Conway line of project. So the team has come together very nicely. We probably have a dozen people that are leading experts in their field from an engineering perspective, from a plant general manager perspective, from a quality insurance perspective, from a financial expert that had multiple plants reporting up to. We have put together a -- really it’s impressive and we just took our Board throughout the other day and we have got it very seasoned. I think we have Fortune 500 Board and they were absolutely blown away with the talent and the individual backgrounds of the people that we have brought on to run this Conway project. We are feeling super about the people. You then get down to being on time, on budget. On time, we are on time, we are actually slightly ahead, maybe up to 30 days to 60 days on some of the first phases of the general contracting work. Then you get down to on budget. On budget, we are so far actually slightly ahead of budget. So we won’t keep those advantages but we are out of the blocks and around the first lap in good position. So we have got a good crew, we are on time, we are on budget. And then on the other side of it is the customer reaction to being willing to put in pieces of equipment, this is a little bit why you go back to Todd’s question a moment ago. Well, how are you accounting Phase 1 and Phase 2? Well, they are morphing, because as customers come in and say, hold on, I need you to put in this piece of kind of equipment and you put in a small can line and you did put in a large can line, I need to put in glass bottle and I need multi-serve bottles with the following characteristics versus one with another set of characteristics. As we have been working with our customers and these are the major coffee brands in the world, both at the start-up level whether you are on West Coast startup phenomenon and influencer-led brand or you are one of the staple coffee brands in the country, the chances are very likely, you are going to end up being a customer to this facility. And we are doing not to steal really algebraic alliteration, but we are doing the algebra of what takes care of the most customers to maximize our EBITDA in that facility and meet their needs so that we remain their primary first solution and that’s not an untricky, instead that’s not is fairly tricky proposition. But we are making great progress on, the sales force is going back out here in the next month with all new sales literature, all new capacities, and frankly, if half the two-thirds of the people that tell us what they want, actually come through and go all the way through the contracting, we were oversold by a large amount. So we have over -- we are over indexed on demand for any of our capacity and several of the lines are already 100% full.
Sarang Vora: Great. Thank you so much. I will pass it on to others.
Operator: Thank you. One moment please. Our next question comes from the line of Ben Bienvenu of Stephens. Your line is open.
Jim Salera: Hey, guys. It’s Jim Salera on for Ben. I wanted to ask on the competitive landscape and how that looks today. Is the launch of the Conway facility and as you guys ramp up kind of making waves or is it not going noticed by your competitors?
Scott Ford: No. Everybody in the industry knows about it. It’s a fairly small industry. People smaller than us are trying to figure out how they can actually do handoffs up to the scale impact that we bring to their product line. People that compete with us are ratcheting down and fighting harder. And people that are bigger than us are absolutely -- they seem to be absolutely involved about what we have done and how that fits in their view of the world long-term, all of that’s going on.
Jim Salera: Okay. Great. And maybe a follow-up on the last question. Overall kind of macro factors, I mean, you guys have seen really strong demand thus far. Is there any risk that if the economy worsens or the consumer ends up in a tougher position if some of that demand rolls off?
Scott Ford: Yeah. Sure. There is, obviously, a lot of our products are not particularly that sensitive to macroeconomics, but a lot of like hot black coffee at these stations, these stores, it is. And so when you go back to Chris’ point about where are we in the 10% to 25% growth in EBITDA, where are -- where do we land, a lot of it depends on kind of the assumption you make around that, because we are assuming that is what is today is all through the year. And that’s a little bit of a break from where we were last year when we were trying to guess when people were coming back to the office, when COVID was going to abate and people are going to start traveling again, we actually built some guesses like that into our numbers. This year, we said, we know we don’t know, just build it if they are here today and buying that volume, carry it forward, add the new win and just build it that way and don’t guess. So that’s how we did it. But, Jim, you come all the way back around. So if we are halfway on this. We are not coming back to the equity market to get any more money from this market anytime in the foreseeable future, because if we can get to these kinds of EBITDA numbers, our ability to carry the financing through the expanded credit facilities that Chris and his team have brought in, all of those, say, hey, now you have done an offering, you got to come back and do another offering and put out a bunch of start. It is not likely to happen if we get anywhere close to these numbers. And so that’s kind of the other side of the loop, which our Board is a shareholder owning Board and they have zero interest in selling equity anywhere near these prices and so we went out and structured the whole de-SPAC and credit arrangement where if we can hit numbers like what Chris laid out in our guidance, we never have to go back to the equity market. And so that’s -- you can pretty well assure us the largest single shareholder. I am really hard advance on that one and I have got everybody’s attention around here on a daily basis to deliver against that.
Jim Salera: Great. And then maybe one last question I can sneak in for Chris, just kind of segueing of that answer. Can you maybe just talk a little bit about your capital position today and kind of where the balance sheet positions you to make all -- kick off all the boxes in your growth plans?
Chris Pledger: Yeah. So, I mean, as we finish the year, we had $17 million in cash and we have had a completely undrawn $175 million revolver. You saw the announcement earlier this -- in the first quarter where we added $50 million of incremental borrowing capacity to our delayed -- in the form of delayed-draw term loan, which gives us additional excess capital. And then we are looking at ways that you can maximize working capital in order to be able to make sure that we have all liquidity we need in order to execute. So we feel really good about where we are. I mean, like Scott said, we plan the whole transaction for building out Conway and as long as we continue to stay disciplined, we continue to deliver, we have no concerns without being able to do that.
Jim Salera: Great. Thanks guys. I will pass it on.
Operator: Thank you. One moment please. We do have a follow-up question from Todd Brooks of Benchmark. Your line is open.
Todd Brooks: Hey. Thanks for giving me a couple of follow-up questions here. First, Scott, if you and this is my ignorance on the coffee market, but if you could talk about Bixby and what these influencer brands mean and what their skill set and capability really unlocks for Westrock as you fold that operation?
Scott Ford: Sure. So it’s a reasonably small business as it sits today, but they probably have the leading influencer brand market position on the West Coast. And as you go through, there was a great article, sorry, Todd. I will see if I can find it and send it back around to you. But there was a great article about, it used to be that people would say, I have a product idea, now I have a method of creating a brand and now I am going to spend money to create product awareness and brand affinity with the consumer and now I am going to actually pay people to put it on the shelf, that entire retail model has been turned upside down by the digital revolution. So you now have people that have already built brands, they might be wrestlers, boxers or makeup artists or guitarists, I don’t know. But they built a brand where they have literally tens of millions of followers who want to be associated with these people, these influencers. So what Miles Fisher and Remington Hotchkis has done, which is a lot like what Elizabeth have also here in our group had started a small group in this kind of mind this vein. They had actually built the kitchen or a roasting facility in California where these influencers can come in and actually start to try products, create products and then we brought in the scaled manufacturing and purchasing power behind it so that these people can scale up really quickly. And we are talking about getting into as an illustration all of the Walmart, all of the Target. These are the kind of brands that are going in and they go from zero to full product arrays in less than nine months. And so this is really a sales force and a selling site acquisition for us. We are really high on these two guys and their small team. They now work on Elizabeth’s team and we already had probably the leading influencer brand coffee launch customer already in our stable. So putting those together and having them, she’s actually out there on the West Coast right now focused on developing the full strategy to deliver not only roast and ground products, single-serve products, but you are going to see a lot of these folks have a mass following, they will get them in the ready-to-drink space. So pretty exciting just from a sales perspective.
Todd Brooks: Okay. Thanks, Scott. And then, Chris, one follow-up for you. And maybe not quantifying the exact gross margin percentages in a product segment. But if you look at a May delivery of that key piece of equipment in the single-serve side. If you are looking at maybe first half versus second half 2023 gross margins for single-serve, just what type of basis point, like, would you expect to see between the two halves once you fully equipped to really ramp into this new business that you brought on? Thanks.
Chris Pledger: It should be -- I mean it should be somewhat significant. I think the key -- what happens when you have the necessary equipment to meet the volume that you are trying to produce in the group that you have, you are able to really look at your production from a portfolio basis. And so, not only having the machines, but having machines allows you to be able to do the preventative maintenance that allows you to be able to pick and choose what you are going to turn on win in order to be able to maximize the throughput that you need. And so it’s not just about volume, it’s also about being able to produce more efficiently and with less waste. And so we are excited about a couple of machines that Scott mentioned that, they came in, in the first quarter. We have got the other machinery coming in, in the second quarter and what that really does, it allows us -- it gives us the flexibility and the comfort to be able to execute on the single-serve cup volumes in a more stable manner and when you do that there are benefits throughout the entire platform to being able to do that.
Todd Brooks: So if I was kind of drawing a glide path for, we would see meaningful improvement in the second half, but probably annualized that segment of…
Chris Pledger: Of course.
Todd Brooks: …product solutions getting to where you want in 2024?
Chris Pledger: Correct. I think it will be little -- small improvement in the first half. I think you will see a bigger improvement in the second half.
Todd Brooks: Perfect. Thank you both.
Operator: Thank you. I am showing no further questions at this time. I will turn the call back over to Scott Ford, CEO, for any closing remarks.
Scott Ford: Well, thank you all for joining us. It has been a [Technical Difficulty] Coffee in 2022 and we really are focused right now on making sure that the issues that we are dealing with from getting new equipment in the single-serve and getting back to full scale is effectively and timely deliver. We are also working through a series of system conversions that we went through at the beginning of the year in North Carolina in the traditional S&D business. We are basically caught up with all of those issues coming out the other side of the system conversion. We have new extract facilities that are turning on in the first half of the year this year in North Carolina. That is kind of the bridge that creates the fiscal year 2023 outlook and then we have Conway on-time to start up in the first quarter of 2024 and we are simply focused on trying to put several years together in a row of growth rates like the one that you have just experienced here. This one was a little harder to make than we would have thought. I am sure there will be new things in 2023. But the team has really started to gel. We are only doing some smaller acquisitions. We are not -- we have had people do this financing, do this big deal, do this big deal and we are like, look, we are focusing, we are simplifying and we are executing and that is what 2022. And I will pause and give Jeff Fox $0.05 for creating that for, because I did steal it, but it is -- that is really the sum total what we are working on in 2023. Thank you for being with us today and hope you have a great evening. Thanks.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s conference. You may all disconnect. Have a great day.